Operator: Good morning and thank you for joining us today for Hovnanian Enterprises Fiscal 2022 Third Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast, and all participants are currently in a listen-only mode. Management will make some opening remarks about the third quarter results and then open the lines for questions. The Company will also be webcasting a slide presentation along with the opening comments from management. These slides are available on the Investor page of the company's Web site at www.khov.com. Those listeners who would like to follow along should now log on to the Web site. I would now like to turn the call over to Jeff O'Keefe, Vice President of Investor Relations. Jeff, please go ahead.
Jeff O'Keefe: Thank you, Norma. And thank you all for participating in this morning's call to review the results for our third quarter, which ended July 31, 2022. All statements in this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks and uncertainties, and other factors that may cause actual results, performance, or achievements of the Company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such forward-looking statements include, but are not limited to, statements related to the Company's goals and expectations with respect to its financial results for future financial periods. Although we believe that our plans, intentions, and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions, or expectations will be achieved. By their nature, forward-looking statements speak only as of the date they are made, are not guarantees of future performance or result, and are subject to risks, uncertainties, and assumptions that are difficult to predict or quantify. Therefore, actual results could differ materially and adversely from those forward-looking statements, as a result of a variety of factors. Such risks and uncertainties and other factors are described in detail in the sections entitled, Risk Factors and Management's Discussion and Analysis, particularly the portion of MD&A entitled Safe Harbor statement in our Annual Report on Form 10-K for the fiscal year ended October 31, 2021, and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable security laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances, or any other reason. Joining me today on the call are Ara Hovnanian, Chairman, President and CEO; Larry Sorsby, Executive Vice President and CFO; and Brad O'Connor, Senior Vice President, Chief Accounting Officer and Treasurer. I will now turn the call over to our CEO. Ara, go ahead.
Ara Hovnanian: Thanks, Jeff. I'm going to review our third quarter results, and I'll also comment on the current housing environment. Larry Sorsby, our CFO, will follow me with more details. And then, as usual, we'll open it up for Q&A. Our third quarter seemed like a Tale of Two Cities; on the one hand, we had our most profitable quarter since the third quarter of 2006. On the other hand, a wave of negative economic views has weighed on the mind of homebuyers, and we've seen them hesitate on finalizing their new home buying decisions. I'll start with the good news. On slide five, we compare our results to our guidance, and you can see that our revenues were slightly below our guidance range, our gross margin was above our guidance range, and our SG&A was toward the lower end of our guidance range. The net result was an adjusted income before taxes significantly above our guidance range. Even without land sale profits, of $10 million for the quarter, we still would have been significantly above the high end of our guidance range for adjusted pretax profit. Moving on year-over-year comparisons for our third quarter, starting in the left-hand position of slide six, you can see that our total revenues for the third quarter were $768 million, an increase of 11% over last year. We achieved this increase in revenues despite persistent supply chain issues that we continue to battle every day. Some of the issues, lately, have been delays in utility companies bringing electricity to homes and developments due to a shortage of transformers and utility crews, as well as delays in delivery of cabinetry, windows, and garage doors. Moving to the right-hand portion of the slide, you can see that our adjusted gross margin increased 420 basis points, to 26.3% this year, compared to 22.1% in last year's third quarter. Much of this increase was due to our ability to raise home prices more than labor and material prices increase due to strong demand for homes when they were sold seven to nine months ago. The average sales price for homes delivered in the third quarter increased 18%, to $522,000. Turning now to slide seven, one the left-hand portion of the slide, you can see that our SG&A as reported was 9.8% for the third quarter, compared to 8.7% in last year's third quarter. If you ignore the impact of the incremental phantom stock expenses, something we've talked about in the past, the SG&A ratio would have been 9.7% in both years, which we show on the right-hand portion of the slide. As the sales environment has slowed down, we are carefully monitoring our SG&A expenses, including filling vacancies or staffing new positions. Turning to slide eight, we show that adjusted EBITDA increased 42% year-over-year to $147 million. Turning to slide nine, you can see the benefit of the $281 million reduction of senior notes that we've completed since July of 2021. Our percentage of interest expense to total revenues decreased 140 basis points, from 5.6% in last year's third quarter to 4.2% this year. The absolute dollar amount of interest was down 16%, from $38 million in last year's third quarter to $32 million this year. Given the fact that we expect to reduce our senior notes by an additional $100 million in the fourth quarter, we anticipate incurring less interest in the future. On the left-hand portion of slide 10, you can see that our adjusted pretax income improved 78% to $113 million, compared to $63 million in the last year. On the right-hand portion of the slide, you can see that our net income for the third quarter of 2022 was $83 million, compared to $48 million in last year's third quarter. We're pleased with our third quarter profitability. Now, let me talk about the change in sentiment that has dramatically impacted the sales environment. Beginning of May of '22, home demand slowed, and it continued to slow further through the summer months. We believe this striking shift in homebuyers' sentiment is due to the sharp rise in mortgage rates, since January, year-over-year home price increases, record-high inflation levels, and fears of an economic recession. Today's economic uncertainties have caused consumers to temporarily pause their home purchase decision. On the right-hand portion of slide 11, we show contracts per community for the third of '22 decrease to 7.4 from 11.6 contracts per community in last year's third quarter. On slide 12, we show contracts per community monthly, from August through July, the last month of our quarter. The most recent month is in dark green. The same month a year ago is in light blue, the same month two years ago is in gray. For all 12 months shown on this slide, our contracts per community have been lower than last year's strong pace. Up until May, we compared favorably every month with the same month's per-COVID sales pace that was in 2019. However, since the month of May, we have seen a steep drop-off in sales. While we are the first builder to report contracts for the full-month of August, we're not the only builder that's reported declines in sales. You can see contracts per community restack as if we had a June quarter-end so that we could compare our results to 10 of our public peers who reported June quarter-ends, as we do on slide 13; we are basically in the middle of the pack. Turning to slide 14, we show contracts per community for each month since May of 2022. During these four months, the market seems to have found a floor, and stabilized, albeit at much lower levels. The slight sequential decrease from 2.1 contracts per community in June and July, to 2.0, in August, is due to August being a seasonally slower month and that there were only four Sundays on August to five Sundays in July. We've seen a decrease in foot traffic per community during the quarter, and that's clearly more than a seasonal slowdown in the summer months. Encouragingly however, we've experienced an upward trend in foot traffic over the past six weeks, which is unusual for this time of year. Furthermore, we see other positive signs of increasing homebuyer interest when we look at our Web site activity, which we believe is a leading indicator of future demand. Turning to slide 15, here, we show daily Web site visits per community, with the blue line near the bottom of the graph representing 2019 pre-COVID Web site visits. The dark green line is 2020, and the gray line is 2021, both of which were elevated during the time of extremely high demand for new homes during the COVID surge. On slide 16, we show that the 2022 Web site visits, in July, have certainly been less than the very high levels that we experienced in 2020 and 2021, but were better than the 2019 pre-COVID levels. On slide 17, we've seen Web site visits in the past few weeks approach those very high levels that we saw in 2020 and 2021. Frankly, it's been somewhat surprising. Our online leads have been following a similar trend. Again, we believe visits to the Web site and online leads are both leading indicators of demand for our homes. Both indicators have turned strong. Despite the recent slowdown in contracts, it's clear that potential buyers are looking for and researching new homes, but we believe they are not yet confident enough to make a final decision to purchase a home. Since our last conference call, the use of incentives and concessions is much more prevalent today across the entire new home industry. We have increased our use of incentives on both specs and to-be-built homes. One of the most popular incentives is to buy down today's higher mortgage rates to something more affordable. On quick move-in homes, we recently offered a 3.99% 30-year fixed rate on homes that could close by October 31. For to-be-built homes, the rate was lower than today's market mortgage rates, but higher than we offered for quick move-in homes as the futures market for mortgage rates is more expensive. In addition to permanent buydowns of mortgage rates, we also offer our homebuyers incentive choices, such as paying closing costs, discounts on options, and upgrades or temporary mortgage buydowns during the first years of homeownership. There is not one size that fits all consumers, so we typically offer our consumer a choice what incentive meets their needs the best. The last thing a building typically wants to do is lower then base price since that upsets both customers in backlog and existing homebuyers. Today, we have not seen much of that occurring across the country. By August, incentives in our new contracts had increased from the 2% level that we average in the first-half of the year to roughly 6%, which is much more in line with our historical average incentive rate. Even after increasing our use of incentives, the margin on new homes that we're selling today remain in the mid 20% range well above our historical average gross margin of 20%. I'm going to repeat that, gross margins on new home sales today remain very high, even after the increase in incentives I just described. Having said that, our industry has clearly shifted to a buyers market, and we're acting accordingly. We're closely monitoring our competitor's incentive trends and testing even higher levels of incentive. But today, we have not seen the resultant increase in our home sales when we offer a higher incentive. Therefore, we're hesitant to further increase incentives across the board. Due to current economic uncertainties, many homebuyers just remained entrenched on the sidelines. However, given increasing rents, high inflation and the strong Web site traffic and leads, we've recently experienced, we remain optimistic that our sales pace will ultimately rebound as the uncertainty in the economy is reduced. Needless to say, it's not clear when that's going to occur. In the interim, if the economy worsens, we and the industry may have to increase our use of incentives and concessions to convince consumers to buy now. As you can see on slide 18, when you look at our cancellations as a percentage of backlog the cancellation rate for the third quarter of fiscal '22 was 8%. Given current market conditions, we're both pleased and somewhat surprised that we had an increase of only 2% versus the 6% backlog cancellation rate that we experienced in the first -- in the same period last year. Further demonstrating the strength of our backlog sequentially, our backlog cancellation rate actually dropped from 9% in the second quarter of 2022 to 8% in the third quarter. It remains well below our historical average backlog cancellation rate. This is vastly different than what we experienced during the Great Housing recession. However, due to the sharp decline in gross sales, during the third quarter, our cancellation rate as a percentage of gross sales increased to 27% compared to 16% during the third quarter last year. The third quarter's gross cancellation rate is higher than our historical normal range of the high teens to the low 20s. Today, we're finding that homebuyers want both the lowest mortgage rates possible and to reduce the risk that rates may rise further prior to closing on their new home. In a rising rate environment, consumers want to lock in their mortgage rate when they sign their purchase contract. That's harder to achieve when purchasing a home to be build that averages six to seven months to complete in today's environment because the rate on mortgages closing seven months in the future is materially higher than the rate for closing the home in the next 90 days. While we have typically and historically been focused on a build to order model in most of our markets in a sharply rising mortgage rate environment, there's a compelling case to be made for having more spec homes available, so consumers can lock in their mortgage rate and close faster. Because buyers want to have certainty in rates, there is an increased demand for homes that can be closed in the next 30 to 90 days. Consumers remain laser-focused on affordability until the Mortgage and Housing Market stabilize. We're consciously increasing our number of started unsold homes per community to try to capture some of those buyers looking to close quickly so they can lock in their lower mortgage rates. This temporary shift in our spec strategy will lower monthly payments and make our homes more affordable with the mortgage rate buy down. Frankly with the permit delays and time required to start backlog homes, it's been challenging to get more specs in the ground, but we're making progress. As you can see on the graph on slide 19, while we believe more started unsold homes will satisfy consumer demand and drive more sales for us, we'll take steps to make sure that we sell these homes prior to completion so that our inventory levels do not needlessly increase. On this slide, we also show that we had 3.2 spec homes per community at the end of the third quarter. Well, this increased from the average of 1.9 spec homes per community we had for the last eight quarters. It's still significantly below our long-term average of 4.4 spec homes per community. We had a total of 350 spec homes at the end of the third quarter, we consider a spec home to be a spec, the day we start construction. Only 18 of our 350 spec homes were finished as of the end of the third quarter, there is strong demand for finished spec homes. One additional very important point I want to mention is our initial build-to-rent efforts. Last quarter, we began construction in our first 200 home build-to-rent community, which is pre-sold at solid margins. Additionally, we have recently signed two LOIs for another two communities with two different investors for approximately 350 homes, also at solid margins and returns. Build-to-rent is a large potential revenue source that can help fill some of our pipeline gap from our traditional for sale homes market during this time of extreme buyer hesitation and we're seeing tremendous investor interest. And therefore we're considering expanding our operations in this growing segment. The terms and IRRs can actually outperform our for-sale returns, and we're quite excited about our opportunities in this growing sector. The homes are essentially similar to our existing affordable homes and are much simpler to build because of the lack of options, consistent color selections and the rapid, steady pace. I'll now turn it over to Larry Sorsby, our Chief Financial Officer.
Larry Sorsby: Thanks, Ara. I'm going to start with our community count position. If you will recall, prior to the COVID surge in home sales, we and our peers were focused on increasing lot supply and projecting growth in community counts in order to achieve revenue growth. On slide 20, you can see the impact the COVID surge in demand had on our community count. Starting in the summer of 2020, our contract pace per community skyrocketed to unprecedented levels. This increase in sales pace caused us to sell out of communities faster than we anticipated. As a result, our community count declined from 160 communities in the first quarter of 2020 to 120 communities by the third quarter of 2021. However, we achieved even higher levels of revenue growth with this unexpected decrease in community count. I'm reminding you of this phenomenon because the opposite community counts trend is beginning to occur today. At the recent slower sales pace per community, the expected lifespan of a community will actually lengthen. This will cause our community count during 2023 to increase faster than we previously expected. Even if sales pace for community remains sluggish, we expect our fiscal 2023 deliveries and revenues will be higher than our current sales pace suggest as well as higher than some analysts might forecast. Recently, there's been some chatter about the increasing supply of existing homes for sale and the impact it will have on new home sales going forward. On slide 21, we show that the number of existing homes for sale has increased to 1.2 million homes over the past several months. The press and analysts typically talk about the percentage increase in existing home sales. However, what they fail to mention is the modest absolute increase is from record low levels. The recent increase remains 43% below the historical 2.1 million home average. It would almost have to double from current levels to get back to the historical average. If you ignore the COVID housing surge during 2020 and 2021, we are at the lowest level of existing homes for sale in four decades. This is after the modest increase we recently saw, the existing home supply remains quite low and it's 65% lower than the 3.4 million existing homes at the start of the Great Housing recession. On slide 22, we show that our community count increased slightly year-over-year, our consolidated community count increased at the end of the third quarter to 124 communities, we're still planning to end fiscal 2022 with about 135 communities. But frankly, that number would have been even higher, if not there's delays and getting communities open for sale, we should experience further increases in community account during fiscal '23. Turning to slide 23, on the left hand portion of this slide, we show that our lot count increased slightly year-over-year to 31,913 lots, but on a sequential basis, which we show on the right hand portion of the slide, our lot count actually decreased by almost 1,600 lots from 33,501 lots at the end of the second quarter. Regardless of market conditions, we are always disciplined in underwriting new land transactions. But in today's more challenging sales environment, there is an increased vigilance to our underwriting process. As of late, we've not been approving many new land transactions. Given the slowdown in sales pace and increase in incentives, it's difficult to find land sellers willing to lower their expected sales price to a level that will meet our underwriting standards. In addition to submitting new land transactions to corporate for preliminary approval, once final entitlements have been received for land transactions, our divisions then schedule a meeting for final approval. In that meeting, we underwrite the transaction one final time to make sure based on today's slower market conditions, the property still meets our hurdle rates. Even after taking into account increasing incentives to historical averages, today's slower sales pace and current construction costs, we're finding that most transactions we initially approved during 2021 and prior still have returns that meet or exceed our hurdle rates. We suspect that number could decrease as we began to review acquisitions that were initially approved starting this calendar year when home price appreciation began to slow down. During the third quarter of 2022, we walked away from almost 1,900 lots of the cost of $1.1 million. The vast majority of these walkways occurred during the due diligence period. If land sellers are not willing to adjust their prices and terms to today's slower market conditions, walk away costs may increase in future quarters. Until the housing market stabilizes, we will remain cautious when making new land acquisitions by using current home prices, current construction costs and current sales pace to underwrite to a 20 plus percent internal rate of return and a minimum 6% pretax profit, our underwriting standard automatically self adjust to changes in market conditions. On slide 24, we show the percent of lots controlled by option increase from 46% in the third quarter of 2015 to 68% by the third quarter of '22. A low percentage of own lots strongly mitigates land risk and gives us tremendous flexibility in a shifting market. On slide 25, we show the vintage of our land position, 78% of our total 32,000 lots controls were put under contract before October 31 2021 and 43% were controlled prior to October 31 2020. Those lots were underwritten at substantially lower home prices in today's housing market, which provides us the flexibility to adjust concessions and incentives while still delivering strong margins and returns. Turning to slide 26, even after $205 million of land spend in the third quarter and paying off $100 million to senior notes during the second quarter, we ended the third quarter with $357 million of liquidity well above the high end of our targeted liquidity range. We expect liquidity to improve further in our fourth quarter positioning us for additional early debt retirement. Turning now to slide 27, compared to our peers you see that we still have the third highest percentage of land controlled via options, we continue to use land options whenever possible to achieve higher inventory turns, enhance our returns on capital and to reduce risks. Turning to slide 28, we show years supply of own lots, should not come as any surprise that we had the third lowest year supply of own lots. On slide 29, you can see that we also have one of the shortest total year supplies of land both owned and option lots. It happens to be an appropriate time in the housing cycle to have a slightly lower year supply of lots controlled. Our focus on controlling land by option and choosing not to be overly long land at this point in the cycle mitigates our risk from declining land values. Turning now to slide 30, compared to our peers, we continue to have the second highest inventory turnover rate. High inventory turns are a key component of our overall strategy. We believe we have opportunities to continue to increase our use of land options, and to further improve inventory turns and our returns on inventory in future years. Turning now to slide 31, on this slide, we show our debt maturity ladder at the end of the third quarter. Last year, we paid off $181 million of senior notes. At the end of the second quarter of '22, we paid off an additional $100 million of our 7.75% senior notes due in '26. Furthermore, we are targeting to pay off early an additional $100 million of senior notes during the fourth quarter of '22. After the end of the third quarter, we amended our revolving credit facility to extend the maturity date to June 30 2024. Given our $377 million deferred tax asset, we will not have to pay federal income taxes on approximately $1.4 billion of future pre-tax earnings. This benefit will significantly enhance our cash flows in years to come and will accelerate our progress of rapidly improving our balance sheet. Our focus in the coming years is to further reduce debt. On slide 32, we show the dollar value of our consolidated contract backlog increased year-over-year to $1.79 billion at the end of the third quarter. The strength of our backlog including a strong expected gross margin sets us up nicely to achieve our expected improvements in our fiscal '22 financial performance. We're already developing our backlog for fiscal '23 as well. Assuming no changes in current market conditions, we already have more than 80% of our expected first quarter deliveries and backlog today. The slower current sales pace does not give us great visibility for the balance of next year and we are not yet comfortable providing financial guidance beyond the end of this year. Our financial guidance for the full-year of fiscal '22 assumes no adverse changes in current market conditions including no further deterioration in our supply chain or material increases in mortgage rates. Our guidance assumes continued extended construction cycle times to six to seven months, compared to our pre-COVID cycle times for construction of approximately four months. Further, it excludes any impact to our SG&A expense from phantom stock expenses related solely to the stock price movement from $48.51 stock price of HOV at the end of the third quarter of '22. Despite uncertainty surrounding ongoing supply chain issues, persistent labor market tightness, lumber price fluctuations and recent mortgage rate increases, we're increasing our gross margin EBITDA and pre-tax profit guidance for the full-year of fiscal '22. On slide 33, we show our guidance for the full fiscal '22 year, we expect total revenues for the year to be between $2.8 billion and $3 billion. We also expect gross margins to be in the range of 24% to 26%. SG&A as a percent of total revenues expected to be between 9.3% and 10.3%. We increase the bottom end of our guidance for adjusted EBITDA by $50 million and the top end by $15 million. The new range is now $460 million to $475 million. We also increased the bottom end of our adjusted pre-tax profit for fiscal '22 by $50 million and the top end by $15 million to be between $310 million and $325 million. Finally, we increased our earnings per share guidance, assuming a 30% tax rate to be between $32 and $33.50 per share. Given where our stock price closed yesterday and the midpoint of our EPS guidance, we're only trading at 1.2 multiple of earnings. On slide 34, you can see how our credit metrics have significantly improved over the past few years as well as the further improvement we expect at the midpoint of our guidance for fiscal '22. Total debt-to-adjusted EBITDA has declined from 9.7 times in fiscal '19 to 3.8 times in '21 and now projected at 2.6 times for fiscal '22. Net debt-to-adjusted EBITDA has declined from 8.9 times in fiscal '19 to 3.1 times in fiscal '21 and now projected at 2.2 times for fiscal '22. Adjusted EBITDA and interest incurred coverage has more than doubled from one time in fiscal '19 to 2.3 times in fiscal '21 and now projected at three times for fiscal '22. Turning into slide 35, assuming we hit the midpoint of our fiscal '22 guidance for pre-tax profit, our shareholders equity is expected to more than double from fiscal '21's fiscal year-end level. This would result in a book value for common share of $39. This improvement in our equity position will result in our net debt-to-capital ratio continuing to decline from 146% year in fiscal '19 to 87% at the end of '21 and at the midpoint of our guidance, it's now projected decline to 72% by the end of fiscal '22. We expect to continue improving our balance sheet by reducing debt and growing equity. Our goal is to achieve a mid 30% net debt-to-capital ratio. On slide 36, we show that at 36.1%, we have the third highest consolidated EBIT return on inventory compared to our peers. On slide 37, we show that we have the highest return on equity when compared to our peers at above 100% for the last 12 months. And on Slide 38, we show the trailing 12 month price earning ratio for us in our peer group. The entire homebuilding industry has been valued is if we're going to have a repeat of the Great Housing recession, which we believe is very unlikely to occur. We recognize that our stock should trade at a discount to the group because of our high leverage. However, given how our returns on equity and our EBIT return on inventory compare favorably to our peers and given how rapidly we've been improving our balance sheet, we believe our stock is the most undervalued of the entire universe of public homebuilders. Based on our price earnings multiple of 1.17 times at yesterday's closing stock price of $40.09, we're trading at a 53% discount to the next lowest peer and a 72% discount to the industry average. We remain focused on further strengthen our balance sheet. Standard & Poor's recently recognized our improved balance sheet and financial performance by upgrading our credit rating. At some point, the stock market will give us credit for our superior performance as well. Now I'll turn it back to Ara for some brief closing comments.
Ara Hovnanian: Thanks, Larry. It's not rocket science that based on our current sales pace that we do not expect fiscal '23 revenues and profits to be as high as we planned them to be in fiscal '22. Given persistent supply chain issues, and the current sales environment, it's still too early to understand what the impact on fiscal '23 will be. However, we are building a sizeable backlog of first quarter deliveries at very solid margins we believe it's likely that construction costs will begin to trend down next year. Lumber futures certainly indicate that they may help lead that. Eventually construction cycle times will return to normal. All of these items will have a positive impact on our ROI, IRR and interest costs. Additionally, as I mentioned earlier, we're beginning with numerous build-to-rent opportunities that will fill some of the current sales gaps and deliveries for next year. We're a good size homebuilder to be nimble and take advantage of these opportunities. It's difficult to predict how long these uncertain economic times will cause homebuyers to delay their purchase decision. However, we remain confident that rising rents compared with a low supply of homes for sale will ultimately drive increased demand from the current lows. As we mentioned, our Web site visits per community and leads per community give us visibility to some green shoots and optimism that there are interested buyers as the market eventually settles down. While they will unlikely return to the COVID sales surge levels, they should return to more historically normal levels. That concludes our formal comments, and we'll be happy to turn it over for Q&A.
Operator: Thank you. The company will now answer questions. [Operator Instructions] And our first question comes from the line of Kwaku Abrokwah with Goldman Sachs. Your line is open.
Kwaku Abrokwah: Hi, guys. Thank you so much for giving me the opportunity to ask a question here and congrats on the results. Just one from me, given the large number of buyers you talked about being on the sidelines, could you describe sort of the characteristics of the buyers who decided to transact during the quarter? What are some of the demographics here; are they largely move-up or are they first-time buyers, sort of what's driving their decision to actually transact during the quarter?
Ara Hovnanian: Sure. I'll say, in general, we've seen a little slower demand in our first-time homebuyers. They are the ones that are most affected by the interest rates because they are typically right on the edge of qualifying. And we've seen slightly higher demand for our active adult segment. We have active adult communities throughout the country, many are -- many of them are cash buyers and not very affected by mortgage rates. So, that's really the most noticeable two different ends of the spectrum.
Kwaku Abrokwah: And to follow up on that, is that going to -- do you think that that's going to lead the industry to sort of shift away perhaps slightly over the next year or so from the emphasis on first-time or entry-level production to the other categories, or do you think that's not really going to affect -- or your strategy or the overall industry strategy?
Ara Hovnanian: Well, I think what it might affect is, as we describe, more builders focusing on having quick move-in homes for the first-time homebuyer; we typically did not do that, and we're doing that more now. And the reason that's important is you can more easily buy down mortgage rates at a reasonable cost that will help that first-time homebuyer qualify. So, I don't think that the homebuilders are going to shift that much in their portfolio.
Kwaku Abrokwah: Got it. Thank you so much, guys, and best of luck.
Ara Hovnanian: Okay.
Operator: Thank you. [Operator Instructions] Our next question comes from Jesse Lederman with Zelman & Associates. Your line is now open.
Jesse Lederman: Hi. Thanks for taking my questions. The first, I'd like to just have you talk a little bit more about your thoughts on the sustainability of the build-to-rent demand, and how confident are you that the demand remains countercyclical? I know you noted that demand from investors, for that product in those communities, remain strong. But we've already seen a large player in that space announce they've stopped acquisitions in many markets. So, can you just talk about your thoughts with regard to the sustainability of that demand if the primary buyer continues to pull back?
Ara Hovnanian: Well, the primary buyer of build-to-rent, you mean. I'll tell you, we have seen enormous demand from build-to-rent investors. So, just like land, some buyers may be particularly hungry, some many not be. But we've just seen huge demand. As to the sustainability a year or two years or three years from now, I can't say that we know. But frankly, our communities that we're doing on the build-to-rent spectrum and the affordable for-sale spectrum are very, very similar. So, it's really easy for us, as we're demonstrating right now, to shift from for-sale to consumers to for-sale for build-to-rent or back. So, we've got a good amount of flexibility.
Jesse Lederman: Just a follow-up on that, so if a community you have tabbed for for-sale to a build-for-rent investor, are you able to then switch and sell those communities to primary homebuyer or are not allowed to go back and forth?
Ara Hovnanian: No, absolutely. I mean there is nothing that prevents us. And we're also looking at communities that would have a mix of for-sale and build-for-rent in different sections of the neighborhood, perhaps divided by certain cul-de-sacs or streets, that also makes it easy to switch back and forth.
Larry Sorsby: I mean, frankly, the communities that we recently put under LOI; we had anticipated doing on a for-sale basis. But as we explored and become more familiar with the returns we could earn on a for-rent basis, it was more attractive for us to switch those communities from for-sale to build-to-rent. So, I mean that -- we're already doing this switching back and forth, it is fairly easily to do.
Ara Hovnanian: I think it's fairly well reported that the rent on single-family rentals have really been rising, and that's part of what's driving the demand for investors.
Jesse Lederman: Right, okay, thanks for that. My second question, I know you mentioned the margins that you're generating in actively selling communities is still in the mid-25% -- 20%-25%, about there, can you talk about the sensitivity to margins on future land that you have under control? So, as you re-underwrite your deals you have under option contract, what do current margins and returns look like given the increase in incentives? And what would you need to see in the market to walk away from a more significant number of deals or what would it have to happen to incentives or how much would base prices have to actually decline for you to meaningfully walk away from some deals?
Larry Sorsby: Yes, so it really depends on when we initially put the parcel under control. So, as we mentioned, we have a pretty high percentage under control pre 2020. And those parcels, we did start with lower prices, add incentives and concessions, and still had very, very strong margins because they have built-in appreciation from when we initially controlled it, as compared to maybe parcels that we put in control this spring or closer to our initial underwriting criteria, closer maybe to a 20% gross margin. So, that we may not be willing to move forward on some of the parcel [technical difficulty] -- control, unless sellers are willing to renegotiate price in turn. So, it just depends on the vintage of the parcel in order to answer specifically your question. But, so far, just as I mentioned in my comments, we've been moving forward on the overwhelming majority of deals that have been brought to corporate for the final approval right before purchase because they have this built-in appreciation. So, even after adding in historical incentives and concessions and today's construction cost, and today's much slower pace, they still hit our underwriting hurdle rates. So, hopefully that explains it.
Jesse Lederman: And, but what --
Ara Hovnanian: I'll add one additional point.
Jesse Lederman: Sure.
Ara Hovnanian: And that's that sellers understand what -- the land sellers understand what's happening in the marketplace; we've been to this dance before. And sellers that have seen very high lot sale prices will likely adjust their pricing if the market continues to be slow. And that would include in properties that are under contract right now that are still going through due diligence or entitlement. So, it's hard to say where the environment is going to be, but there are lots of different options and alternatives.
Jesse Lederman: Got it. Thanks for that thoughtful response. Real quickly, do you have a breakdown of the 525, would you happen to have that split by owned versus optioned there by vintage or do you just have the total?
Larry Sorsby: All I have is what you see, whether we have the ability, I'm sure, to do it, we'll give that some thought. But we certainly don't have that at our fingertips.
Jesse Lederman: Got it. Well, thank you again for taking my questions, I appreciate it.
Ara Hovnanian: No problem.
Operator: Thank you. [Operator Instructions] And at this time, I'm currently showing no further questions in the queue. I'd like to hand the conference back over to Mr. Hovnanian for any closing remarks.
Ara Hovnanian: Great. Well, thank you very much. We're obviously pleased with the quarter, and we're being nimble and hope to present some good results in the quarters ahead. Enjoy [technical difficulty] -- everyone. Thank you.
Operator: This concludes our conference call for today. Thank you for your participation, and have a nice day. All parties may now disconnect.